Operator: Hello, and a warm welcome to today's First Quarter 2022 Kilroy Realty Corporation Earnings Conference Call. My name is Emera and I'll be coordinating the call today. [Operator Instructions] It's now my pleasure to hand today's call over to Bill Hutchison, Senior Vice President of Investor Relations, to begin. Please go ahead. 
Bill Hutchison: Thank you, Emma. Good morning, everyone. Thank you for joining us. On the call with me today are John Kilroy, Tyler Rose, Rob Paratte and Eliott Trencher. At the outset, I need to say that some of the information we will be discussing during this call is forward-looking in nature. Please refer to our supplemental package for a statement regarding the forward-looking information on this call and in the supplemental. This call is being telecast live on our website and will be available for replay for the next eight days, both by phone and over the Internet. Our earnings release and supplemental package have been filed on Form 8-K with the SEC, and both are available on our website. John will start the call with first quarter highlights, and Eliott will discuss our financial results and provide you with updated 2022 earnings guidance. Then we'll be happy to take your questions. John? 
John Kilroy: Thank you, Bill. Hello, everybody. Thank you for joining us today. I'll begin with some big picture comments and then share highlights from the quarter. We recently passed the 2-year mark from the start of the pandemic and are starting to see what a new normal looks like. People go back the cities, kids are attending school in person and travel has returned. On that last point, it was great to see so many of you live at the Citigroup conference in March. Physical office occupancy has continued to progress. Many of our largest customers started returning to the office in recent weeks, the effects of which are tangible in our markets. Traffic is up. Public transportation is more crowded. Cities are cleaning up and starting to feel more vibrant. Ridership on BART in the Bay Area was up roughly 20% versus last month and over 140% versus last year. We are encouraged by the initiative San Francisco took last month with their welcome back to SF plan, encouraging employers to return to the office. Those who signed the pledge, including many companies such as Google, Microsoft, Meta, Salesforce, Uber and Kilroy committed to implement in-person work policies beginning in March. So while we expect the coming months to have some fits and starts, we are feeling more encouraged by the progress to date. One thing that has not changed throughout the pandemic is the importance of technology and life science companies as an engine that drives our economy. Since the start of the pandemic, over two years ago, the NASDAQ is up roughly 90%, VC funding is up 85%. So while there will be volatility year-to-year, access to capital for these industries remains robust. Hiring continues to be very healthy as well. Job postings, the large technology companies in our markets is up roughly 75% year-over-year, highlighting the growth and competition for talent on the West Coast and in Austin. Despite all the headlines, companies continue to lease office space. According to JLL, leasing nationwide has increased for five straight quarters in the first quarter of 2022, had leasing volume that represented approximately 75% of pre-pandemic levels. Technology and life science customers remain a major driver of demand, especially in our markets. A few examples include: Meta signed a nearly 600,000 square foot lease in Downtown Austin and a 200,000 square foot lease in Bellevue. Bristol-Myers Squibb took over 400,000 square feet in the UTC submarket in San Diego, and Roblox, a gaming company leased 200,000 square feet in the Bay Area, just to name a few. Not surprisingly, a disproportionate amount of this leasing has been in newer and more amenitized buildings. Our strategy has long been to buy and build the best office and life science buildings in our markets in order to attract, big sophisticated and growing users. A Green Street report from last month analyzed portfolio quality among the publicly traded office companies and Kilroy scored over 90 out of a possible 100 points, ranking us number one in our group of peers. Our commitment to modern, amenitized and sustainable workplace environments differentiates our portfolio and positions us to succeed in multiple environments. On this note, we'd like to point out that earlier this month, we filed our 11th Annual Sustainability Report. Sustainability, health and wellness are integral to both us and our partners. Our efforts continue to earn global recognition from leading organizations, including GRESB, Dow Jones, NAREIT and ENERGY STAR. These initiatives remain central to Kilroy's values and we plan to continue to being a leader in these areas. But we are not without challenges. Geopolitical risk is elevated, inflation is accelerating and the capital markets remain somewhat volatile. While these macro factors are beyond our control, our long-term leases, high concentration of creditworthy tenants and low leverage provide a buffer to navigate any short-term choppiness. In summary, our portfolio quality, strong tenant credit and fortress balance sheet position us for both defense and offense. Our downside will be protected in tough times as seen by the resilience of our portfolio during the pandemic, and we are prepared to be opportunistic when appropriate as we demonstrated through active capital recycling this past year. Turning to the highlights for the first quarter. Leasing was headlined by the renewal and expansion of Nuro for 114,000 square feet in Mountain View through 2032. We are pleased to be able to grow with this innovative company, which represents another VC-backed company expanding in the Bay Area. After a slow start due to Omicron variant, activity improved throughout the quarter, and we are currently in late-stage negotiations on more than 350,000 square feet of office in our core portfolio across multiple markets. While there are no guarantees these leases get done, it demonstrates the improved tenant confidence in the market. Overall leasing spreads on deals signed during the quarter were plus 7%, it's worth noting that our leasing spreads stayed positive every quarter throughout the pandemic, a testament to the quality of our real estate in the built-in growth within our portfolio. And our lease rollover remains modest with an average of 7% expiring per year through 2025. We continue to see strong residential demand in our markets, which is good for our multifamily portfolio in the near-term and encouraging for our office portfolio in the longer-term. Our roughly 1,000 residential units are 97% leased as of today. Jardine, our most recent project in Hollywood now sits at 94% leased, a mere 11 months since delivery and is achieving top of the market rents at nearly $6 per square foot. Life Science continues to be a point of strength across all markets with vacancy rates in the low-single digits. Leasing activity for life science projects remains robust, and we continue to have good interest in both Kilroy Oyster Point and our future start in San Diego, Santa Fe Summit. As a reminder, upon completion of all phases of these developments, NOI from life science properties could get as high as 30% of total company. On the capital allocation front, we began construction on the last two San Diego life science redevelopments we discussed last quarter. In total, we now have three life science redevelopments, which have an estimated total cost of $115 million or roughly $60 million of incremental spend, all three projects are fully leased and upon stabilization, will generate $20 million in total NOI or $10 million above pre-redevelopment levels. Additionally, during the quarter, we continued our expansion in Austin by acquiring a land site in the Stadium District for $40 million. The Stadium District, together with the adjacent domain submarket have become Austin's second downtown with 4,000 apartments, 50 restaurants, 900 hotel rooms in close proximity. The Class A office market is roughly three million square feet and 99% leased to several customers, including Amazon, Meta and Indeed. Our site is kitty [ph] corner to the southern end of the domain, close to a future light rail stop, which connects to downtown. And most importantly is directly adjacent to the brand-new Q2 Stadium, home to Austin FC, Austin's Major League Soccer Club and the only professional sports team in the region. As part of the land acquisition, we have a permit-ready, high-quality design from one of our favorite architects which allows us to lock in G&P contract, which we've done with the builder. We expect to start construction later this year. In total, we expect to spend just over $700 per square foot, including the entitled land, which, as I mentioned, we previously closed on to develop what we believe will be the best building in the submarket that will complement our Indeed tower, the best building in the Austin CBD. We also made progress building out our team in the region. We recently announced the addition of Fernando Urrutia, Senior VP of Leasing, for our Austin-based team. Fernando, a graduate of UT has been in the Texas commercial real estate for over a decade and brings to Kilroy Austin market relationships, leasing acumen and transaction expertise. We also have two very seasoned Kilroy executives who will be relocating from the West Coast to oversee asset management and construction in the Austin market. To recap, since June of 2021, we have acquired two projects in Austin that will total 1.2 million square feet or roughly 5% of total company NOI and put together the foundation of a local team that will facilitate our continued expansion in the region. In closing, last quarter, I outlined five objectives for the year: complete and lease our development projects, proactively manage the operating portfolio, look for external growth opportunities, maintain a conservative balance sheet; and lastly, engage politically when necessary to help shape public policy. While it is still early in the year, we are pleased with the progress on several of these initiatives and we remain committed to these goals as the year progresses. That completes my remarks. Now I'll turn the call over to Elliot. 
Eliott Trencher: Thank you, John. FFO was $1.16 per share in the first quarter. This includes $0.03 of positive onetime items from lease termination fees and moving some retail tenants back on to accrual accounting offset by $0.01 of front-loaded G&A spend. Taking the net of the two, adjusted FFO for the first quarter was $1.14 per share or $0.04 higher than last quarter, largely driven by a full quarter of revenue from Kilroy Oyster Point Phase 1. On a same-store basis, first quarter cash NOI was up 12.8%, excluding onetime items and adjusting for tenants that were not paying rent in the first quarter of last year, cash same-store NOI was 10.1% for the quarter. This growth was driven by lease-up at the residential portion of One Paseo and free rent burn-off for some larger office leases. GAAP same-store NOI was up 9.1%. At the end of the quarter, our stabilized portfolio was 91% occupied and 93% leased. The decrease in occupancy from the fourth quarter was driven by 145,000 square foot move out in San Diego that we previously discussed. Turning to the balance sheet. Our liquidity today stands at approximately $1.3 billion, including approximately $175 million in cash and full availability of our $1.1 billion revolver. As we have previously discussed, our line of credit, combined with cash on hand and our projected dispositions will more than fund the development pipeline through 2022. Net debt to Q1 annualized EBITDA was 5.9 times, and we have no debt maturities until December of 2024. As a reminder, last year, we issued $450 million of bonds, 2.65% and use the proceeds to redeem our 2023 maturity, thereby giving us plenty of runway to navigate the current debt markets. Before we get to guidance, one change we made to our disclosure this quarter is on Page 18 of the supplemental where we expanded the pool - the pool of deals for the change in rent calculation. Previously, this number was based on spaces that had been vacant 12 months or less. Given the decrease in activity during the pandemic, we are starting to see leasing in more spaces that have been vacant for longer than 12 months. So beginning this quarter, our change in rent calculation includes spaces that have been vacant since the start of the pandemic which should give investors a better sense for what is going on in the portfolio. As John mentioned earlier, our leasing spreads on deals signed this quarter were plus 7%. Had we used our old methodology, it would have been plus 6%. Now let's discuss our updated 2022 guidance. To begin, let me remind you that we approach our near-term performance forecasting with a high degree of caution, given all the uncertainties in today's economy. Our current guidance reflects information and market intelligence as we know it today. Any COVID-related impact or significant shifts in the economy, our markets, tenant demand, construction costs and new supply going forward could have a meaningful impact on our results in ways not currently reflected in our analysis. Projected revenue recognition dates are subject to several factors that we can't control, including the timing of tenant occupancies. With those caveats, our updated assumptions for 2022 are as follows. As always, though, acquisitions are forecasted. We continue to assume $200 million to $500 million of dispositions. Development spending for the balance of the year is expected to be $500 million to $575 million, a modest increase from our prior forecast due to the inclusion of our recently acquired Austin site. We expect to commence revenue recognition for the remaining 51% of 333 Dexter by the third quarter and for 250,000 square feet of life science redevelopments by the early fourth quarter. It is important to note that the prior tenants for 12400 High Bluff and 4690 Executive Drive, our Life Science redevelopments in San Diego moved out in the first quarter. So NOI at those properties will drop over the next couple of quarters before ramping back up in the fourth quarter. Since these buildings are now in the redevelopment pipeline, it does not show up in our occupancy. Year-end occupancy is still projected to be 91% to 92% for the office portfolio and residential occupancy is projected to stay around current levels. Same-store cash NOI is expected to be between 5% and 6%, a 50 basis point increase at the midpoint due to the strong results from the first quarter. Putting this all together, we project 2022 FFO per share to range between $4.44 to $4.58 with a midpoint of $4.51, which is a $0.06 increase compared to our prior guidance. The implied run rate in our new guidance is below the first quarter results due to the dispositions expected to occur over the balance of the year, which have a roughly $0.11 impact and from the $0.02 of net nonrecurring items in the first quarter. That completes my remarks, and we'll be happy to take your questions. Emma?
Operator: Thank you. [Operator Instructions] Our first question today comes from Nick Yulico from Scotiabank. Nick, please go ahead. Your line is now open.
Nick Yulico: Thank you. Maybe sticking with the guidance, Eliott, I just wanted to be clear in this. So it sounded like there was - you said a $0.02 nonrecurring item in the first quarter, and so guidance went up $0.06. So just trying to understand what's the difference in the delta and the rest of the guidance raise?
Tyler Rose: Yes. So you can roughly break it up into three buckets and it's about third, third, to third. A third 3 being the onetime, the net onetime items that you outlined, a third being the residential portfolio, which was strong in both - in the first quarter. And the last third was sort of miscellaneous other, including some earlier lease starts and cap interest being slightly higher. 
Nick Yulico: Okay. Thanks. And then I guess maybe a question for Rob or someone else. Just maybe an update on some of the leasing conversations you're having and the dichotomy between some of the markets you're focused on? 
Rob Paratte: Sure. How are you doing, Nick. Let me give you a broad overview to start with just four points I'd like to make. And these points are tied directly to Kilroy's portfolio where we operate, where all the top-tier talent pools are located and where you're seeing a flight to quality. But the four points are, as John said, in all cases, leasing activity in our markets has improved and optimism is improving. Re-entry remains fluid. Last, the third point is that American office workers are back to work at the highest level since the pandemic. In Austin, our newest market is leading the way at 61% followed by Dallas and Houston. So Texas is really going to be a bellwether we think, for return to office nationally. The last thing I'd say on this third point is the average occupancy for the top 10 metros in the U.S. is about 40.5% today. And a lot of that has been impacted in the last six weeks by Easter passover and extended spring breaks. So that has affected demand, we think. The last point I'd make is that real estate executives that we're speaking to at major companies are almost entirely consumed with bringing people back to work with various programs you've probably read about Google having concerts at their campus in Mountain View and other schemes like that to bring people back to work. I can go into individual markets, if you'd like, or I can stop there. 
Nick Yulico: Yes, that's great. I guess maybe just a follow-up on San Francisco itself. If you can tell us in terms of traditional office leasing demand, how that's working and also how you think employers are looking at Silicon Valley, they already have some campuses in Silicon Valley and if that's being used as maybe tenants - workers can go to Silicon Valley. There's been some press about at least one company saying that they could put employees into the Valley. They don't have to go into San Francisco. They can work remote or if they want to go to the office [go to the Valley], I guess I'm just wondering how -- latest deal on San Francisco proper leasing. 
Rob Paratte: Okay. Sure. So as of yesterday, VTS reported that tours are up 23% in San Francisco, February to March. Just to give you a little color, year-to-date leasing in the city was 732,000 square feet. 611,000 of that was Class A leasing. 121,000 of that was Class B. And as a broker said to me yesterday, if you're sitting on commodity space, you're not busy. If you've got quality space, you're actually pretty busy in San Francisco. Sublease space has dropped to about 6.5 million feet from a high of $9.4 million during the pandemic. So that's a positive John had mentioned BART and Bay Bridge Crossings, all of those metrics are up. Weekly that’s like data from [indiscernible] has increased over the last three months. So we're seeing a good uptick in activity in the street. If you toured San Francisco, three weeks ago, it's totally different today just in terms of how many people are on the street, how many people are in lobbies and that kind of thing. And the last point on your question on Silicon Valley, in the conversations we're having with real estate executives, I would like to see -- I think we'd all like to see San Francisco and Seattle have higher physical occupancy than we have today. It's hovering around 24%, 25% for both markets. That said, as you know, Silicon Valley has been extremely busy, but the real estate executives we're talking to are making plans for San Francisco and are bringing people back to work. That has not translated into big tech making big moves. But as I made in my -- the point I made in my four points, I think most people in that world are really focused on getting bodies back into the office so that then they can start projecting what their demand really is. 
Nick Yulico: Thanks a lot. Appreciate it.
Operator: Thank you. Our next question today comes from Bryan Spun [ph] from Evercore. Please go ahead, Bryan. Your line is now open.
Unidentified Analyst: Hi, thanks, So for the new development in Austin, there's obviously a lot of development going on there. And can you maybe just walk us through what your pitch is for prospective tenants there? And John, you mentioned the light rail. Just curious what's the immediate amenity base like there? And what's the walkability to the domain? 
John Kilroy: Rob, do you want to take the pitch part. We're in the process of making.
Rob Paratte: Yes. So we're really excited about the Stadium District. The domain, clearly, domain proper gets a lot of attention because of the shopping mall that surrounds the existing office buildings. But the Stadium District is an up-and-coming neighborhood with a huge amount of residential coming in, as John pointed out in his comments, the light rail is going to be a major impact to connecting the whole area of domain, as well as Stadium District to downtown. And we actually see it. I always like to look at marketing and how we play off a different market in different ways. And we actually see the Stadium District as a real opportunity for new amenities and improved amenities, less congestion in and around our project. There are some competing mixed-use projects that are relatively close in timing to ours that will include hotels, restaurants and that sort of thing. So we think with the stadium there and their food and beverage programs, their conference centers, that kind of thing. What we're planning on site as well as what's happening in the immediate neighborhood, we're going to have a very vibrant market there. And keep in mind, from when we put shovels in the ground to deliver space, it's probably a 2-year process. So things are changing quickly in that submarket. 
John Kilroy: Yes. On the light rail, that rail line is about 32 miles long. It's going to have nine stations, the McKalla station at the stadium is scheduled for completion of fall of 2023. It's fully funded and downtown through the domain and up to Northwestern Austin, what I understand is that that's going to be complete somewhere in 2025 pursuit to the city, [indiscernible] slip, I don't know? 
Unidentified Analyst: Got it. And then just in the Austin CBD, Rob, can you talk a bit more about the leasing efforts at Indeed Tower. When do you think you get the remainder of that building leased? And what are you hearing from the tenants, prospective tenants there? 
Rob Paratte: Sure. So the CBD, as John mentioned in his remarks, Facebook took over 650,000 square feet recently. That deal, by the way, just to give color, had been in discussions for almost four years. So that is not something that just popped out of nowhere. It took a long time between the pandemic and Meta really putting into paper. TikTok took the balance of the largest Class A space in that submarket. We're averaging about a tour every seven to 10 days. We have, I would say, a handful of tenants that are over 100,000 feet each that we're in discussions with, looking at the space. And the space, if you've not been to it, you should see it just -- it shows extremely well. We've got a beautiful lobby, as you'd expect from a Kilroy project, beautiful, very clear, light and air views around almost all floors of the project and our floor plates at 33,000 feet hit all sorts of different tenant types, whether it's professional services or tech. And by the way, just to give a little more color, the tenants that I said we're talking to are a mix of professional services and technology. So it's nice to be able to fish in a couple of different ponds, if you will. 
Unidentified Analyst: Rob, you pointed out how we're positioned with regard to square footage we have left versus the other Class A process in the market that are available in the same time frame? 
Rob Paratte: Right. So we have the largest contiguous block of Class A space, trophy space, I would say, in the market right now and for the foreseeable future. So we have over 200,000 feet right now that we're marketing. And as I said earlier, we've got more interest than we have space. So we're really focused on trying to do the right thing for the asset. I'd also say without getting into our competition and who they are, that some of the transactions that have happened before we closed on Indeed and during our lease-up of Indeed, have been at rates that we -- we're just not going to transact at those levels. 
Unidentified Analyst: Great. Thanks very much.
Operator: Thank you. The next question today comes from John Kim from BMO. Please go ahead, John. Your line is now open.
John Kim: Thanks, good morning. John and Rob, you both gave examples of tech companies leasing space and the return to office as being a driver. But on the flip side, the NASDAQ is down 20% from the [indiscernible] You've seen a lot of the [indiscernible] 60% or more. Has that had an impact on either leasing activity or more of these companies putting sublease space on the market? 
John Kilroy: Take that, Rob. 
Rob Paratte: Yes, this is Rob, John. We're not seeing that. And if you look nationally at the requirements that are in the office sector right now, even in Midtown Manhattan. It's quite robust from bank companies. We're just not seeing a letup. And I would say, particularly in Seattle and Bellevue, where there are some things going on that have not signed yet. There's going to be more happening up there. San Francisco activity is picking up, as we've said and larger deal size is picking up. We're just not seeing the 0.5 million foot requirements that we saw in 2018, 2019 yet. But as I've said on previous calls and investor meetings, hiring has continued unabated for all these tech companies. And it's just a matter of fact that they're going to need office space to fill - to house these employees. I think I -- one thing I'd say that was really interesting was an interview with Eric Schmidt, the former CEO of Google, where he's quoted saying, "I don't know how you build a great management team virtually, virtually tools are not the same as informal networks that occur within a corporation." So we're seeing from FAANG as well as the companies below FAANG. There is interest -- continued interest in San Francisco and in the other markets where this top-tier talent pool is available. 
John Kim: Okay. And looking at your office lease expirations, it's very manageable. 2023, you have 11% of your leases expiring [by] square footage. What's a reasonable expectation of where this goes to by the end of the year as far as what you address this year? 
Rob Paratte: I don't want to predict, but I can tell you we're in discussions on the bulk of the space and a lot of the interest came up starting in February. And I'd remind everyone, we still had Omicron floating around in January and early February. So a lot of the conversations we're having on our '23 expirations started in earnest in February, a few of them, a couple of them were before. But we're under discussions right now with the bulk of it. So I feel knock on wood, I feel like we will be successful. 
John Kim: Thank you. Thank you, John. Our next question today comes from Jamie Feldman from Bank of America. Please go ahead, Jamie, your line is now open.
Jamie Feldman: Great. Thank you. I appreciate your comments on FAANG requirements being robust. Can you talk more about the -- maybe the smaller tenants in the market where clearly, it sounds like capital is starting to slow from like the venture capital side. And also your leasing volume in the quarter declined well below your trailing 4-quarter average. Is there something you can point to for that? And do you think it starts to pick up in the future? 
Rob Paratte: Yes. Let me start with the latter question first, Jamie. I would have loved to announce deals that we have in the works for the first quarter, but we're just not going to do what I would call silly things to get a transaction done. We are main -- always maintain our discipline and negotiate the best deals we can for ourselves, but also try to make it mutually beneficial. So we are close on some things. John gave you the number at 350,000 feet. Those are late-stage discussions. I don't want to give more color on that, but more to come that I feel confident about. First question was, I'm sorry, what was that? It was on. 
Jamie Feldman: Just - I mean, you talked about FAANG. 
Rob Paratte: Smaller yes, smaller. So again, it depends on the market. We just -- we have a 6,000-foot transaction happening in Bellevue right now that should be signed any day now. On the smaller side, Hollywood has been slow in the 30,000 square foot and below tenant size. In San Francisco, there's quite a bit of activity, tour activity in that size range of 15,000 to 30,000 feet in Austin, sort of the sweet spot tenant, if you will, in the CBD is about 15,000 feet, and tour activity there has been very robust, both from tech as well as professional services. So we're not seeing a letup -- in fact, I've seen over the last six to seven months, an uptick in smaller tenants taking space and a lot of those, as I said earlier, in those numbers for San Francisco, these are relocations to better space upgrades. 
John Kilroy: Yes. I'd add to that. You didn't mention San Diego. We don't have any space. I mean we have 2100 Kettner where we're not really wanting to do smaller deals other than as they backfill bigger tenants that we're working within the Del Mar area as an example, we don't have space. We have tons of demand through the smaller tenants for high-quality space down there, but we just don't have the product. But I think it's a good question you asked, Jamie, because smaller space, I think, has lagged at least in a lot of areas. What we're seeing in Austin would be a good case. We're seeing a lot of financial services, DC-type companies, law firms and whatnot that are both big and smaller ones. That market, as you know, is booming. And it's attracting a lot of new folks to the market that want to get their [ore] in the Austin Waters. So that's been an area that has certainly lagged the smaller tenants and that's coming back. The thing that I would say that is across the board, and Rob made a comment about this about what's happened at San Francisco with roughly [indiscernible] or 85% of the stuff that was leased in the first quarter was all high-quality space. I mean that's the ticket. It's all about high-quality space. It's all about the best locations and best product and we think we do very well when we look at our portfolio on that score. 
Jamie Feldman: I appreciate it. But when you think about a pullback in VC funding, whether it's life science or the tech, I mean, how exposed do you think your portfolio would be to that and delayed decision-making by those types of tenants or even failures, but those types of tenants. 
John Kilroy: It's hard to predict. I mean it's -- there's been all-time highs in VC funding, and it's backed off a little bit. But still, if you look at it over a 10-year period. It's still going to be -- it's on track to be one of the best years ever. I don't know how to predict that. We obviously talk to some of our VC friends about what they're doing. They all seem to be very busy, but I don't know how to predict that, Jamie. 
Eliott Trencher: And Jamie, this is Eliott. Maybe just to add on to that. And John's point, when we look at the trends in VC funding, you're right in that they're down from 2021. But I think it's important to keep the context of 2021 was a record year of VC funding by a multiple of two. And so if we're down a little bit in 2022, but we're still at the second best year by a meaningful margin. We think that's a healthy environment for companies even if it wasn't as good as last year because their availability of capital is still quite strong. So we think when we take a step back and look at kind of the bigger picture trends as John mentioned, things are still in pretty good shape. 
John Kilroy: And then just shifting gears to the asset sales. Can you just talk about what kind of bid you are seeing for assets, what the buyer pool looks like. And then also your comments on quality, do you think there's -- what we should expect to see Kilroy continue to shed assets to improve portfolio quality even more in the coming years? 
John Kilroy: Well, Eliott, do you want to take what we're seeing in the way asset sales and so forth, and I can take the quality afterwards. 
Eliott Trencher: Sure. So Jamie, similar to kind of on the leasing side, I think that on the capital markets, just with the change in interest rates that has happened over the last six weeks or so the volume of asset sales have sort of slowed as everyone tries to figure out where things are going. It's interesting because while the 10 years, I don't know where it is say, but call it high 2s on a relative basis, this is sort of where we were in 2018. So it's not the absolute level of where the tenure is that it's getting people pause. It's just a volatility. And so volume has not been as high as it's been kind of even at the end of 2021. In terms of the trades that have happened, there's still plus or minus in the same ballpark is where asset values were at the end of last year. So volume a little bit lighter, but asset values are plus or minus is similar. 
John Kilroy: On the quality side of things, you asked would we expect our quality to improve even further? Well, I think most people know, we -- in terms of scale, I think we probably have the highest quality portfolio of anybody in the country. So it's -- we're in pretty good shape on the quality spectrum. In terms of what we sell, does that materially impact the overall quality, maybe a little bit. And then, of course, our development is all top-tier quality. So I don't know how to say that. I mean, I don't want to signal exactly which buildings we're thinking of selling. But we're very focused as we have always been on where to be and physicality, how is the building set up to perform for the long term whether we can make any more value by owning it versus selling it and using that for alternative investments. And that's going to continue to be the way we operate the company. But I think we're -- from a qualitative standpoint, even though some of the assets we have might be somewhat older, they've all been by and large gone through major renovations over the last few years. So I think we're really positioned at a very high mark and higher again than I think anybody else on a portfolio basis as to the quality standard. So I can't give you much more than that, Jamie. 
Jamie Feldman: Yes. I guess maybe a better way to ask it is just do you feel like the low end of the range of what you'd want to own long term has changed through the pandemic? I know you're always recycling, but could you kind of raise the bar on the long-term keepers. 
John Kilroy: I'd say at the margin, yes, Obviously, the -- it's been well written about by all of you folks and others, whether it's the brokerage, the real estate brokerage [indiscernible] never, that the trend to high-quality assets has been accelerated by COVID. I think we were identifying that over 10 years ago in conversations like this or that I might have spoken at or others from Kilroy might have spoken at the industry groups. We've signaled long before that I think I coined the term not your father's office space, and that's been used pretty widely by our peers as well. What we do is really to differentiate ourselves from other providers in a number of ways, and you toured a bunch of our assets. So I'm not going to get into describing at all. And we always look to how do we differentiate with the understanding that we do so to attract and retain and to create long-term value and not just do a deal where a building is great today, but might not be great after the first tenant. And you've seen us do that. For an example, the 300,000 square feet or so down in San Diego that we converted to life science, those are all buildings that were -- had the physicality that permits life science. They added [fluorites], the floor loading and structural and so forth that is necessary for those kinds of assets. And that we were very easily able to convert at relatively modest numbers, those spaces to accommodate life science. So we take a look at not only the existing use, but what they might become in the future. We look at what the life is after the existing tenant, obviously, the market. All those factors get into it. I think you'll continue to see -- you and others will continue to see that if we have the highest quality portfolio today, we'll even have a higher quality portfolio tomorrow and the year after tomorrow. 
Jamie Feldman: Okay. Thanks.
Operator: Thank you. Our next question today comes from Manny Korchman from Citigroup. Please go ahead, ma'am, your line is now open.
Manny Korchman: Hey, everyone. Good afternoon. I know you don't include acquisitions in your guidance, but are you actively looking for acquisitions in the Life Science side? And if so, are those strictly land deals? Or would you look at other assets to either convert or add to your life science platform? 
John Kilroy: I'll take that one. This is John. How are you doing? We look at everything, well, mostly everything at least in our markets. We've not been able to find any assets that we like to convert to life science that makes sense to us. You certainly, as I've said many times before on these kinds of calls, you can make a lot of buildings, life science in terms of physicality, the question is do people want to be there, can you make money? And most of what we see going on, we don't know how people make money. But there are a lot of smart people out there and they may have a much better formula on a particular building that we do. But we have not seen anything to buy. We look at everything. From a development standpoint, we've been very -- we've been -- or from a conversion standpoint, our own portfolio where that's really well located where people want to be and the buildings lend themselves to being converted, when we do that, we think we have more of that in scale. Some of you can't get to right away because it's being occupied by others. And then from a development standpoint, we have always loved about development, whether it's office or whether it's life science is we can develop best-in-class assets that we think just get better and better with time as rates go up and demand goes up and so forth. So our focus has been on the development side because there, you have something that really is attractive to the user that has all the bells and whistles, the amenities and all the things that they are looking for. So our focus is going to be far more in development. That doesn't mean we won't look at opportunities to acquire existing life science or to convert existing assets, we just haven't found anything that makes financial sense to us. 
Manny Korchman: Thanks. And are you only looking in your existing markets against specifically on Life Science side? Or are you looking for new markets there as well? 
John Kilroy: We look at a lot of different things, but I'm not going to tell you any particular markets that we're looking at because I don't want competitors to know. But I can tell you, there's nothing active in our radar about life science in a different market today. 
Manny Korchman: All right. Thank you.
Operator: Thank you. Our next question today comes from Caitlin Burrows from Goldman Sachs. Please go ahead, Caitlin, your line is now open.
Caitlin Burrows: Hi, there. Maybe just continuing on the life science topic. We've heard that life science development construction costs and lead times are being extended as delivery of key materials, systems and generators are taking longer. So are you seeing any impact to your in-process life science projects or your plans at Summit Santa Fe? 
John Kilroy: We have not, Caitlin. We have GMP prices and delivery schedules mapped out on everything that we start before we start it. Does that mean something good happens? Sure things happen all the time. We have a very intense risk management group in our construction development team. And we deal with that stuff all the time. It's true that construction costs have escalated, they find it's true that there are some things that are longer lead. And I think this is going to be an issue for a lot of folks that are developing or thinking about developing. If you own tons of land, and you've got a long delivery schedule and you've got a need to develop soon because I'm talking about a lot of the private people that they develop or lose. I don't think that's a good place to be. We don't have to develop anything right away. We can take a pause if we want, and we're going to measure the market. And when we measure the market, that's not just demand, but it's construction costs. for example, up in Bellevue right now in Seattle construction costs have gone up far greater than they have in most other markets in the country. And when you think about it, Amazon is doing four million square feet and others are doing millions of square feet. And there's only so many contractors and subcontractors and so forth and are all busy as heck. Now we have a development site up there called [indiscernible] , but it's a couple of years before we can start it anyway. And if we had it ready to start today, if you had all the approvals and all the rest, beyond assessing the market, we would say that makes no sense to start today because you got to let some of the stuff get through the system and get back to better pricing. So a long-winded answer, but we really pay attention to this stuff. We don't start things without having a GMP price. We do a heck of a lot of due diligence on our general contractors and our subcontractors. That's what people come to expect from Kilroy. That's what we do. We're very rigorous and even more so today. 
Caitlin Burrows: Got it. Okay. And then I think early on, you had talked about how there was the one, and I think it was expected large vacancy in San Diego. So I was wondering if you could talk about the leasing activity or expectations for that vacancy that occurred in the quarter at one of the Sabre Springs buildings. 
John Kilroy: Sure. Do you want to take that on? 
Rob Paratte: Sure. So just to give some color, the I-56 and I-15 corridor is the area where the San Diego vacancy is, but that is a corridor that has been, I would say, evolved to where you see life science activity happening. There's a 500,000 square foot life science company that just signed a lease out in that corridor on 15. And as you go north, you have several of the FAANG companies in the market. So we've been pretty engaged with a variety of companies on the space we have. I've got nothing to announce as far as we're going to sign something imminently, but the activity is good. The space shows very well. And actually, the location of it is so oriented toward I-56 and I-15, that it's probably the first stop as you go into that corridor. So we're going to do fine there. We just need to get big tenants making decisions.
Caitlin Burrows: Thanks.
Operator: Thank you. And our next question today comes from Vikram Malhotra from Mizuho. Please go ahead. Your line is now open.
Vikram Malhotra: Hi, thanks so much for taking the question. Just wanted to get your thoughts on this, what this quality divide in, say, San Francisco or the Bay Area may eventually do to where rent differentials exist between these two groups and maybe even values? And then is that an opportunity for Kilroy to maybe look to redevelop value-add property and create sort of an asset longer term that fits in the portfolio? 
John Kilroy: Yes, let me start with that. This is John. There's a lot that's got to play out until we see the -- until people start to digest their back-to-work activities and how people are going to use space and what that's going to translate into remodeling space or demand for space, as Rob pointed out in his remarks. It's hard to -- we sit around -- as we look at various areas, we say, yes, that site is well located. Could be a great redevelopment play. But we're not acting on it right now. I think we've got -- we have a lot on our plate right now with regard to leasing activity. We have some buildings we want to sell. We've been active in Austin. We want to grow in that market. We're getting everything entitled that isn't entitled and getting entitlements that are for a range of uses and so forth so that we have a lot of optionality. We're not really looking at the Valley right now in a serious way towards acquiring either companies or properties with regard to converting. Will we? of course, we always have an eye on these things. But I have to tell you, we are not looking in earnest. And the quality divide, I said in my comments earlier to somebody else's question, it's never been more pronounced. COVID has done nothing but accelerate those trends. I would not want to own commodity office space or have it be in locations where people don't want to be. I think that it's a loser's game, and I think a lot of people are going to get hurt. And Rob can give you more color if you'd like with regard to rent differential being on the demand differential for high-quality versus commodity space. And Rob, maybe you want to make a comment on that. 
Rob Paratte: Sure. Just to add color to what John was saying, and I'll talk about San Francisco and everyone likes to hear about the city. Class A trophy rates are higher right now than they have been pre-pandemic. And again, that's Class A view space, and there's very little of it. It's right now less than 8% vacant in that submarket. By contrast, and let me point out two things. There's sublease space and then there's direct space, which is also a differentiator. But right now, there's probably a $15 a foot gap between Class A rates and what I would call Class A minus to B rates, and then that gets further impacted when you look at 43% of the space, that is sublease space on the market has a term of about 2.5 years on it. 
Vikram Malhotra: That's interesting. Yes. We just see where eventually the gap settles out and what this means for the value gap as well versus sort of pre-COVID level. Just maybe one more maybe for Eliott. Can you just clarify for us two things on the expense side, overall expense. Any changes in the OpEx outlook for the balance of the year? Any puts and takes there? And remind us on the interest expense side. I know there were changes you outlined, but I just want to make sure what are you factoring in for just a higher rate environment? 
John Kilroy: So nothing on the OpEx side to think about. I think you may be referring to how it was up a little bit sequentially, and our reimbursements were correspondingly up a little bit. So there's really no notable change there. On the interest expense side, we have no variable rate debt. We have no maturities for the balance of this year or next year, as we said, until the end of 2024. So there really aren't a ton of moving pieces there. As I alluded to earlier, our cap interest is going to be a little bit higher. I think last time we gave a range of $70 million to $80 million. So we're probably trending towards the higher end of that range. And that's a function of our Austin project that we acquired, but that's really the only moving part for this year. 
Vikram Malhotra: Okay. Great. And then just, sorry, one metric. I was wondering if you had -- we know obviously what the sublet rates are across, say, the city or the Bay Area. I'm just wondering in your own portfolio, do you have a sense or is there anything out to sublet today? 
Rob Paratte: I mean there's some -- there's nothing material. The biggest sublease that we had in our portfolio has been absorbed. It was at 350 Mission, both Yelp and Sephora absorbed that space. And again, it's an example of, in both cases, those companies moving from lesser quality, poor location to stronger Class A asset. But the asking rate and the transactional rate for sublease space is all over the map. It really depends on the motivation of the sub-lessor. And in most cases, sub-lessors are just trying to reduce expense. So if they're not going to hold out for an extra $5 or $10 a foot, if they want to move the space. In most cases, they've already written it off. 
Vikram Malhotra: Great. Thanks so much.
Operator: Thank you, Vikram. Our next call comes from - our next question comes from Blaine Heck from Wells Fargo. Please go ahead, Blaine, your line is now open.
Blaine Heck: Hi, great. Thanks. Just one for me here, probably for Rob. Can you give any more color on leasing progress at KOP Phase 2? I know you guys still have a lot of time until completion. But are there any conversations you guys are having now that I think that project has gone vertical? 
Rob Paratte: Yes. Hi, Blaine, it's interesting. Similar to Austin, we're doing presentations Jonas Vass, our Head of Construction and Development and I are doing presentations every seven to 10 days with users. Tour activity has really picked up pretty dramatically in the last five weeks. Some of that activity involves entire building in one case. And some of it's just a floor, multi-tenanting kind of scenarios. Demand in the market still remains very strong at 3.5 million square feet and activity for space that's ready to go, meaning lab space that's built out or that's further ahead of us in the construction cycle is continuing to lease and do well. So it's been very active and we'll continue, we think, to increase over the next -- over the summer. 
Blaine Heck: That’s helpful. Thanks.
Operator: Thank you, Blaine. Our next question comes from Pedro Cardoso [ph] from TCD. Please go ahead. Your line is now open.
Unidentified Analyst: Hi. Thanks for taking the question. Can you guys a quick one for me. Can you just please comment on current physical occupancy and how that's been trending? I'm just trying to get a bit of sense of return to the office trends. Thank you.
Rob Paratte: This is Rob Paratte. I'll touch on that. So as I said in my comments, let's start with Austin physical occupancy. If you're asking kind of market by market, Austin in the lead is 60%, San Diego is about 50%, and that's at our One Paseo project, Del Mar. You could actually argue it's probably closer to 60% based on the last [year] or so. L.A. and San Francisco and Seattle are all -- and again, it depends on the submarket. I can't -- it's very dangerous to generalize about the market as a whole, but L.A., San Francisco and Seattle are all in the 25% to 30% range. But again, it's very -- Bellevue is going to have a much higher occupancy rate than Seattle. And it's all a function of -- the good news is, as John said in his comments, there is a concerted effort by tech companies to bring people back to work, and they're doing that. That said, they also are sensitive to the talent that they've hired and not losing them. So they're being a bit gentle, I guess, in terms of bringing people back. 
Unidentified Analyst : Got it. That’s really helpful. Thank you.
Operator: Thank you. Our next question comes from Daniel Ismail from Green Street. Please go ahead. Your line is open.
Daniel Ismail: Great. Thank you. Just another follow-up on Kilroy Oyster Point - Oyster Point Phase 2. I'm just curious how the underwritten yields there have changed. You mentioned earlier on the call that the fixed cost to develop the project. But I assume rents have run pretty significantly since you guys broke ground. 
John Kilroy: Yes, this is John. Rents have gone up. They're at all-time highs. They're quite a bit higher than we forecasted. I'm unwilling to say what we think our new yields are going to be, but I think we're going to do better than what we initially felt we'd achieved but more to come. But you're right, the rents are up. I don't recall exactly what we underwrote to, but they're up somewhere in the neighborhood of, I don't know, $10 -- somewhere $10 plus a square foot per year. 
Rob Paratte: Yes. I mean if you go back to our Cyto [ph] and Stripe deals, rents are up over 25% from when those deals were done, -- and there's no -- there's been no letup in asking rates and increasing. 
Daniel Ismail: Got it. That's helpful. And then just a curiosity question. We've seen San Diego life science rents increase pretty dramatically in the last few quarters. I'm just curious if you think San Diego will eventually reach -- San Diego life science rents will eventually reach parity with South San Francisco and Seattle, or do you think there'll still be a gap between those markets. 
John Kilroy: I think they've - I think in some of the newer deals that I've heard about, they're breaking $7 triple-net. So that's, what, $84 in the rates in South San Francisco and in some cases, are higher than that. But I think they're there. I mean it's -- it may be different as you get further away from UTC and from Torrey Pines. You may end up a little bit, but a little bit less, I don't know. We've underwritten to considerably less in regards to Santa Fe Summit. But I don't think there is going to be much differential. I think there will be -- speaking of -- I mean, now I'm speaking of really great product in really great locations, the market is definitely going to distinguish between stuff that's not as good or not as well located for sure. So that's -- you got to take that with a grain [ph] of salt on what I said. 
Daniel Ismail: Got it. Thanks, John.
Operator: Thank you. This concludes today's Q&A session. I'd now like to hand the call back to Bill Hutcheson.
Bill Hutchison: Well, thank you so much, Emma, and thank you, everybody, for joining our call today. We appreciate your continued interest in KRC. Have a good day. 
Operator: This concludes today's call. Enjoy the rest of your day. You may now disconnect your lines.